Operator: Good day, and welcome to the Compass Minerals Second Quarter Earnings Conference. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Theresa Womble. Please go ahead.
Theresa Womble: Thank you, Noah. Today, our CEO, Fran Malecha; and our newly appointed CFO, Jamie Standen, will review our second quarter results and outlook for the remainder of the year. Before I turn the call over to them, let me remind you that today’s discussion may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on the company’s expectations as of today’s date, August 8, 2017, and involve risks and uncertainties that could cause the company’s actual results to differ materially. The differences could be caused by a number of factors, including those identified in Compass Minerals’ most recent Form 10-K and 10-Q. The company undertakes no obligation to update any forward-looking statements made today to reflect future developments. Our remarks may also include non-GAAP financial disclosures, which we feel are important to provide a full understanding of our business and operating conditions. You can find reconciliation of any of these measures in our earnings release or in our earnings presentation, both of which are available on the Investor Relations section of our website. Now, I’ll turn the call over to Fran.
Fran Malecha: Thank you, all, for joining us today. Before I get started this morning, I would like to welcome our newly appointed CFO, Jamie Standen. Many of you listening today note Jamie has depth of knowledge about the company and our markets. We’re glad to have him join the senior management team, and look forward to the significant contributions we know he will continue to make to the company. Now, turning to our second quarter results. Our earnings this quarter continue to be challenged by the impact of two consecutive mild winters and softness in demand for our Plant Nutrition South America segment. We have been able to offset some of the weakness through better results in our North American plant nutrition business. In addition, we have begun a significant cost reduction plan, which has allowed us to maintain our prior guidance for full-year earnings per share. Looking first at the Salt segment, lower salt sales volumes resulted in an 8% decline in revenue for the segment. Our salt results were also impacted by increased costs related to a couple of factors. First, we lowered our operating rates at our facilities to match supply with expected demand. In this – in addition, we incurred some short-term costs this quarter related to the implementation of continuous mining at our Goderich mine. These cost factors coupled with lower average selling prices pressured profitability. Even given the mild winter we experienced, our outlook for the Salt segment for the rest of the year is improving. The results of the North American highway deicing bid season so far indicate that we expect to sell more tons than last year, and earn a higher operating margin assuming average winter weather. We estimate that we are about 65% complete with the bid season. So far it has progressed, as we expected, given the mild conditions that we’re experienced in many of our service areas. We’ve had respectable results in our Canadian markets, but have seen reduced bid results in many of our U.S. markets, as well as downward price pressure there. In total, we estimate that highway deicing demand in our served markets has decreased about 5%. Even the contracts we won this far, we expect that our average awarded bid price was declined by 3% to 4% compared to last year’s bid season results. Despite the market contraction, we still expect to generate healthy operating earnings margin for the second-half of the year. This reflects the good work for the business continues to do in terms of customer optimization, operating efficiency, and some additional benefits from the restructuring plan we initiated in July. I’m encouraged by the development of our plant nutrition business overall. With the addition of Produquimica, our total plant nutrition sales have grown from about $49 million in the second quarter last year to $120 million this year. While we did face some headwinds in Brazil, as farmers there have been slow to market there 2016, 2017 harvest, sales volumes exceeded our expectations in our North American business. This was driven by a year-over-year volume growth in both SOP and micronutrient sales. Operating earnings in EBITDA in North America were also boosted by lower per-unit costs coming from more efficient SOP production at Ogden and better SG&A cost management. We continue to execute our strategy to build a leading solutions-oriented specialty-fertilizer business based on SOP, higher-value micronutrients and other specialty nutrients. The market for these products has been stabilizing and we are cautiously optimistic for growth here. Although, pricing is likely to be relatively flat for the rest of the year, as we work to maintain our position versus imports and to convert more acres from MOP to SOP. We are also looking forward to growing our product portfolio with the introduction of additional new products in the U.S. from Brazil by the end of the year. For the rest of the year, we anticipate that the trends in the North American specialty plant nutrition market will continue the current trajectory of gradual strengthening. This has given us confidence to increase our full-year sales volumes expectations. In Brazil, we believe that the delays in farmer purchases will reduce full-year sales volumes of agricultural products to our distribution customers, given the results that we’ve seen in July. Offsetting this weakness, we are experiencing growth in the direct-to-far market part of the business, as we continue to find new customers and increase application rates and more hectares as current customers expand their usages of our products. So even though growth in volumes maybe less than originally expected, our sales tons are shifting increasingly to higher-value, higher-margin products, which should benefit our profitability in the second-half of 2017. Before having Jamie run through more details in the financial results, I’d like to talk a little bit about where we are in our strategic journey. We’ve made significant headway in terms of completing the investments we know are needed to drive growth for the company. We’ve completed or are near in completion of about $500 million in major capital projects designed to both ensure that long-term integrity of our assets and to provide greater efficiency and productive capabilities. We completed a major plant nutrition acquisition, which diversifies and balances our earnings while providing a strong product portfolio, especially plant nutrients that we plan to bring to the U.S. this year and to other export markets in the future. In July, we took another important step to building a stronger company. We had examined every part of our business operations and have made tough decision in terms of our people and our organization. The result is a restructuring plan, which combined with other costs saving initiatives taken in the first-half of 2017, we expect to result in savings of about $10 million this year, and reaching the annualized run rate of, at least, $20 million in 2018. These savings are in addition to the $30 million in cost reductions we expect to achieve when continuous mining is fully implemented in 2018. When I look at the company we have built from these investments and actions, I’m confident we have the assets and the team in place to drive greater earnings growth. As our markets recover and winter weather returns, we expect to generate meaningful free cash flow and delivering attractive returns on our investments. So while this year has had share of headwinds, I believe Compass Minerals offers a great opportunity for our shareholder at this time. Now, I’ll turn the call over to Jamie for more financial details.
Jamie Standen: Thanks, Fran, and good morning, everyone. Before I get started, let me just say how excited I’m to be in the role of CFO and have the opportunity to leverage my long history at Compass Minerals in this position. I look forward to partnering with Fran and our business unit leaders to execute our growth strategy and create sustainable value for shareholders. Now, I would like to touch on a few items related to our current quarter results. As you can see on Page 8, Salt segment revenue declined 8%, driven by year-over-year reductions in sales volumes. Looking more closely at our prices results, you can see that average selling price for highway deicing salt was 6% below prior year, while consumer and industrial average selling prices rose about 2%, as a result of price increases introduces at the end of 2016 for non-deicing products. For the segment in total, average selling prices were flat compared to the second quarter of 2016, due to product sales mix changes in the quarter. Although not a winter weather quarter, our Salt segment results in the second quarter can be impacted in a couple of ways by the strength or weakness of the prior winter. Our average selling prices for deicing products declined year-over-year, due to the prior year’s bid season results. Volumes were also impacted due to the fact that in 2016, we were still selling minimum commitments to our highway deicing customers after a mild winter, and we experienced a few snow events in April. This year those minimum commitments were smaller in size because of reduced bid volumes last year and then fortunately April snow events were minimal. Production costs were the other key factor pressuring our salt results this quarter. In addition to the impact of reduced production rates due to back-to-back mild winters, these costs were also negatively impacted by product sales mix, as sales of our higher cost consumer and industrial salt products represented a larger portion of total salt sales this quarter when compared to last year. Turning to Slide 9, plant nutrition North America sales volumes increased 5% from second quarter 2016 results, as demand for specialty plant nutrients continued to strengthen at modestly lower prices. Average selling prices for these products declined about $11 per ton. SOP-only prices declined about 4% from prior year. But the impact was muted by a richer mix of micronutrient sales this quarter compared to last year. Increased volumes and improved product mix along with lower per-unit costs led to a 62% increase in operating earnings, and a 5 percentage point expansion of our operating margin compared to the second quarter of 2016. Additionally, a portion of our outperformance versus guidance was the result of better management of our SG&A expense in this business, while still investing in innovation and commercialization. Plant nutrition South America results, which are highlighted on Slide 10, faced headwinds this quarter, given the market dynamics outlined by Fran. Most of the decline in sales volumes was a result of softness in our B2B Channel. However, about one-third of the year-over-year decline was related to a sales mix shift to lower-volume, higher-priced products in the chemical solutions business. Results from our South American operations were boosted by the impact of a strengthening Brazilian real. In local currency, average selling prices improved about 1% over prior year. We saw a 10% year-over-year improvement in chemical solutions prices, which was mostly offset by a 2% decline in ag prices. In both cases, product sales mix was the primary driver. Beyond the sales weakness in the Plant Nutrition South America segment, we faced some increased per-unit cost compared to guidance due to the negative impact of fixed cost on fewer sales tons. It’s important to note that we spent a large portion of our SG&A evenly throughout the year, so our second quarter costs per ton is very sensitive to volume. Additionally, I would like to mention that our gross margin in the underlying business is generally flat year-over-year when excluding purchase price accounting adjustments. That being said, we plan to continue investing in sales and marketing to drive additional growth. On Slide 11, we provide our rest of year outlook. Given the highway deicing bid season results to-date, we do expect an average price decrease on North America highway deicing contracts in the 3% to 4% range. Some of this decline is likely to be offset by a more attractive sales mix if winter weather is average. Sales volumes are expected to range from $5.9 million to $6.3 million, assuming average winter weather. This would be an increase compared to 2016 results. Our salt operating margin for the second-half of the year is expected to meet or exceed the prior year results, driven by improved per-unit cost, resulting from a shift in product sales in favor of lower-cost bulk highway deicing salt. In our Plant Nutrition North America segment, we expect steady sales volumes for the rest of the year and raising our full-year volume guidance to a range of 320,000 to 340,000 tons. Our current view of SOP prices and expectations for our micronutrient sales puts average selling prices for this business in a range similar to the second-half of 2016. We expect some operating margin compression on a sequential basis in the second-half of the year for this segment. Our guidance of 9% to a 11% operating margin includes a significant increase in depreciation expense related to the full commissioning of new assets at our Ogden, Utah SOP plant. This guidance puts us in a similar range to 2016 results. In Brazil, we are entering the important selling season for specialty fertilizers in that region, particularly for direct-to-farmer sales. Our outlook for the Plant Nutrition South America segment considers continued softness in our B2B sales. Furthermore, we expect to continue selling highly concentrated specialty chemical products in this segment, which reduces our volumes, but improves our margins. In addition, given the fact that Brazilian growers have delayed selling their harvest and are now beginning to purchase ag inputs, the selling season is compressed, which may lead to lower sales volumes. Those are the factors that resulted in the reduction of our full-year volume range for the Plant Nutrition South America segment to 750,000 to 850,000 tons. Operating margins for this segment are expected to expand on a sequential basis, as is typical, due to seasonality. Last, I’d like to cover a few corporate items. As we noted in the press release, we expect to record a restructuring charge in the third quarter of approximately $4 million related to the cost reduction initiatives outlined by Fran. This is in addition to about $1.3 million in restructuring expenses that we recorded in the first-half of the year. We may incur some additional charges later this year, as a result of additional cost saving opportunities. Before beginning our Q&A session, let me summarize the key points. Despite headwinds in the Salt segment from mild winter, we expect to generate solid operating margins in the second-half of the year and assuming average winter weather, our sales volume should exceed 2016 results. The market for our plant nutrition North America products has stabilized as have our production costs, and this has driven year-over-year improvements for the segment. While margins are expected to contract over the short-term, we believe this business is on track to drive increase growth and value from our unique production assets and our expanding specialty plant nutrition portfolio. In South America, we look forward to a strong season ahead and our prospects for growth, both inside and outside Brazil. Last, we have put in place an aggressive cost reduction plan, which is a great example of us working diligently to control the things we can, in order to drive better results for the company. With these measures in place, we believe we are well-positioned to drive profitable growth as our markets recover. Operator, will you please begin the Q&A session.
Operator: Thank you. [Operator Instructions] We’ll take our first question today from Vincent Anderson with Stifel.
Vincent Anderson: Good morning. Thank you. I just wanted to dig into Brazil quickly. When you talk about the distribution customers, are you seeing – one, is there a significant disparity in geography between where do you have better access with direct-to-farmer sales versus your distribution customers? Is there a significant difference in the product mix as it relates to margin? And then secondly, in your conversations with these distribution customers, how long and how short do they generally get on your products? And is this – if this season shapes up to be even weaker than expected, could it last into next year?
Fran Malecha: Good morning, Vincent, it’s Fran. We do have some geographical differences in Brazil. I’d say, generally, in the northern regions we do more direct-to-farm selling and the southern regions more through distribution. So we do have a bit of that geography to manage. But as I think Jamie mentioned earlier, the product mix to our direct-to-farm customers is more higher value, better margin products than more than either commodity or lower value products that we sell through our distribution customers. So despite the fact that we’re seeing some pressure there. We’re encouraged by the take-up of our products to direct-to-farm And acreage basis is growing in Brazil. We’re seeing acreage up again this year for the major crops and we expect that to continue, I think, by some of the estimates that our out there into the following year. So we think there will be continued increased take-up of those products, especially direct-to-farm, more acres and deeper penetration on the acres that we are currently doing with customers that gives us confidence heading into the back-half of the year and beyond in the next year. I mean, the channel on the distribution side, maybe a little bit fuller and I think, we ‘re – we saw some of that coming into the season. But we do expect that will bounce back in that, I think, in the back-half. So I don’t – I can’t say at this time that we would expect to see that in the next year. We’ll start to see how the rest of selling season goes.
Vincent Anderson: Great. Thank you. And just to switch gears quickly, if you can review for us just more meaningful debt covenants and any liquidity options you have available, should they become a concern, that would be very helpful? Thank you.
Jamie Standen: Sure. So we expect to get through the third quarter at about 4.25 from a debt covenant perspective. Our covenants allow for the inclusion of pro forma earnings-related acquisitions, exclude – if we get to exclude acquisition costs and other non-cash charges. So as far as liquidity goes, we have a number of options. We have a significant rail fleet, which we could complete sale leaseback on to get some things of sheet. We’ve also got some non-core property, we could dispose it. But we’re not concerned about our covenant for the rest of this year. We would expect to finish, or like I said around 4 in a quarter leverage with a 4.5 times max coverage limit in the third quarter and would expect assuming average winter to be down below four times by the end of the year. And even if winter is slow to start, we think of it is maybe a 10th of a turn on that for the fourth quarter. So may be ending the year at four times.
Vincent Anderson: That’s very helpful. Thank you.
Operator: And we’ll take our next question from Chris Parkinson with Credit Suisse.
Graeme Welds: Hi, this is Graeme Welds on for Chris. I just had a quick question, if you could – you guys could elaborate a little bit more on the new products from the Brazilian business that are you planning to introduce into North America? Any additional color that would be great there. And also and if you could speak around how you expect those to ramp up into 2018 that would be great as well?
Fran Malecha: Sure. The products that we’re introducing from Brazil are full-year products. So our like nutrients product line in North America at this point has been all dry products. And so we’re investing out and about half of the sales is, I think, about is the opportunity in North America. And by introducing these products, we’ll now be on the other side of that as well. So it will just be a broader product offering and be able to meet our farm customers needs throughout the growing season, which I think is a benefit and goes well for the future.
Graeme Welds: Got it. Thank you. And then just a quick follow-up, switching gears over to the Salt segment. You kind of talked about some of the differences that you’re seeing in different geographies kind of looking at the best of the North America. Is there anything kind of in the competitive landscape that’s shaping what you are seeing in those markets, will you think it’s really kind of the key drivers of the differences you’re seeing in different regions? Thanks.
Fran Malecha: Sure. I think, the bid season has developed and is developing as we expected. In Canada, we are seeing kind of a single-digit price increases and that’s where winter was average maybe slightly above the average in some areas and maybe slightly below in others, but generally average. So we’re seeing price increases when it was average and I think about an average winter ahead of us, which is what we plan off of that should bode well across our markets in the next year if that materializes. The U.S. and especially the U.S. South, where winter was mild and bid volumes are down, inventories are elevated. We’ve seen reduction in price there in kind of the single-digit level down. So I don’t think there is any difference in how the markets reacting than it would to normal conditions while you have average winter or mild winter and we’re seeing the result of that. So it all adds up to us to a down 3 to 4. We obviously have a little more weight in the U.S. and in Canada in terms of the volumes, but it’s kind of gone as expected. And we’re just preparing for – through our production for average winter ahead of us and adjusting our production for the elevated inventories in the South. And that’s elevated some of our costs as we’ve dialed back production, especially at our Louisiana mine.
Graeme Welds: Got it. Thanks for the color.
Fran Malecha: You’re welcome.
Operator: And our next question is from Joel Jackson with BMO Capital Markets.
Joel Jackson: Hi, good morning, Fran. Congratulations Jamie. Maybe if you could just give a little more color on your $20 million cost-cutting program. Can you talk a little bit about breaking up $10 million this year and $10 million next year, and breaking it down into where you’re getting this in different segments, or at the corporate level, and give us a little bit idea of how you’re getting here? Thanks.
Jamie Standen: Yes. Sure, Joel, I’ll take that. I think it’s a – think of it is a mix between kind of headcount and other spending of kind of 60-40 mostly here toward headcount. So there will be some reductions at the corporate level, so you can expect to see that. And then, a lot of the benefit will come out of our sites, particularly in the Salt segment. So I don’t want to get too granular and give you specifics. But think of a good portion of it coming out of salt, and then the remainder, the lesser half coming out of corporate and plant nutrition North America.
Joel Jackson: Okay, thanks for that. So if I look at your guidance seems to imply a $3 to $4 a ton lower salt costs year-over-year in the second-half. You gave a little bit of color on the call on what’s going on. Can you expand a little bit more, is this a mix shift to more bulk deicing salt less chemical salt, or is it less – higher – from the higher AFP C&I salt, is some of this the headcount reduction like can you just walk us through how you got this $3 or $4 lower costs in the second-half of the year?
Jamie Standen: Yes. So it’s a large portion is improvement in sales mix shifting in favor of the highway deicing versus non-deicing C&I products. We’ve got cost out initiatives that we just talked about. And then we expect improved operating rates, particularly at Goderich in the second-half of the year. So that’s kind of driving that decrease.
Joel Jackson: Okay. Thank you very much.
Fran Malecha: You’re welcome.
Operator: [Operator Instructions] We’ll take our next question from Chris Shaw with Monness, Crespi.
Christopher Shaw: Hi. Good morning, everyone. How are you doing?
Fran Malecha: Good morning. Doing well.
Christopher Shaw: The – you gave us the – your view on what bid volume – what bid the pricing looks like, but I thought you normally give us some indication of how much volume we are doing. I know you’ve mentioned that industry itself in the sectors like probably down 5%. But are you in line with that, or you think you’d be getting more volume than the overall bid demand?
Fran Malecha: Sure, this is Fran. I don’t – we don’t think that we have had a significant move in our share. It’s generally flattish, I would say, year-over-year. And so some of those volumes shift from year-to-year, given where and when it occurs and where does it occur for us and for our competitors. But I don’t think there has been a significant shift in share for us as we look at the total bid season this year versus last year.
Christopher Shaw: Okay. And then I wanted to clarify South American plant nutrition. I thought you – so the farmers and distributers down there are someway maybe delaying their purchases. Does that mean you’re loosing the business completely. And I think you might have said may be some of that gets pushed back into 2018. But is it – just because the selling season that becomes compressed in the third quarter, did you lose some, or is that – I don’t think the farmer does not buy or the distributor does not buy and they just – they’re going to run a lot less inventory. How does that work?
Fran Malecha: I think about it more as it’s a delay. So we are probably – I think, if you look at the next few months going into the early part of our fourth quarter where farmers down there will be planning in – really in the late August and early September and early October timeframe, that’s the heart of their planting season. It’s just going to really compress the window to get these products out. And so we are our optimistic that a lot of that is timing. And we’re also cognizant of the fact that just from our logistic standpoint, it gets more and more difficult to deliver all those product in a compressed window. We think we’re well-prepared for that. But that would be the bigger challenge, I think, in the back-half than anything else.
Christopher Shaw: Okay. And then to ask a question – future question on the – how does the benefit of the – when you always start the continuous mining equipment in Goderich. How does just turned it on January 1, and we get prorated piece of that $30 million in cost each quarter, or how do you imagine that sort of playing out across the year?
Fran Malecha: Yes, I’ll make a comment and Jamie can follow-up on maybe on some of the more detail on the timing. But we’ve actually been implementing the continuous mining starting last fall, and it will culminate in the last miner – in the last mining unit coming online in probably early fourth quarter for us. And by the end of the year, we’ll be fully operating the mine on these continuous mining units and will have discontinued entirely the historical drill and blasting method that we’ve used at the mine for – since it’s inception. So we’re implementing this as we go and some of the costs – additional costs we incurred in the second quarter, I think about that as were maybe paying a little tuition on that as we are putting these units in and working out the commissioning of those, as we are producing for the season ahead of us. And so we’re expecting that rates will continue to improve on those miners as we go through this year and, ultimately, we get to 100% by the end of the year. And, Jamie, you may just want to make a comment on the cost timing.
Jamie Standen: Yes, I think that the $30 million will start coming out Jan 1, on an annualized basis. So the run rate on a cash cost basis would begin in January. Now remember, in the first quarter, we are selling tons that were produced in the prior year. So there will be some nuances to exactly when the benefit flows through the income statement, but certainly the cash costs are coming out starting Jan 1.
Christopher Shaw: All right. Thanks a lot.
Fran Malecha: You’re welcome.
Operator: And at this time, we have no further questions. I would like to turn the call back over to Theresa and Fran for any additional or closing remarks.
Theresa Womble: Thank you very much, Noah. We appreciate your interest in Compass Minerals today and we look forward to meeting with many of you at our upcoming Investor Day, which we will host September 29, in New York. Please feel free to contact Investor Relations with any additional follow-up questions. Have a great day.
Operator: And that does conclude today’s conference. Thank you for your participation, and you may now disconnect.